Operator: Good morning, ladies and gentlemen and welcome to SilverCrest reports Second Quarter 2023 Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 10, 2023. I would now like to turn the conference over to Eric Fier, CEO and Director. Please go ahead, sir.
Eric Fier: Thank you, operator and good morning, everybody and thanks for joining. Today, we will be providing commentary on our robust Q2 2023 results and H2 guidance. After which, we will be happy to take questions. The slide deck we will be referring to in this presentation is available on our website at silvercrestmetals.com under the Investors tab. Before I get started, I would like to direct you to the forward-looking statements on Slide 2. All figures discussed this morning are in U.S. dollars unless otherwise stated and any references to the report are in relationship to the recently released updated technical report. All of the ounce comments on ounce and per ounce references discussed will be based on silver equivalent ounces unless otherwise specified. On the call with me today is Chris Ritchie, President and Pierre Beaudoin, Chief Operating Officer. Starting on Slide 3, Q2 marked another successful quarter for production. We have continued to generate free cash flow after eliminating our debt with $25 million repayment in the quarter, also adding approximately $4 million in volume and $8 million of cash to our treasury assets, while spending about $10 million in sustaining capital. Our balance sheet continues to be a differentiator among our peers. The Las Chispas operation continues to perform well, with 13,400 ounces of gold and 1.45 million ounces of silver sold in the quarter in line with estimates in the report and quarterly levels outlined in our guidance. Almost all-operating parameters showed improvement over Q1 2023, including underground mine ramp-up, which continued to progress well, with an average mining rate of 818 tons per day for the quarter, a 16% increase from Q1 and in line with the updated technical report estimates. Last week, we released the results of the updated technical report, which will be filed within 45 days. The data used to compile the report was generated from actual underground operations resulting in a production and cost profile that we are confident in. The change in the broader economy and our project from the last 3 years warranted an updated study that is more in line with current operating environment. We hope the release of these Q2 results will continue to highlight our strong margins and balance sheet as well as our unique position to opportunistically allocate our capital. We continue to advance our ESG initiatives, including a strong focus on health and safety as well as managing the risks and opportunities within the communities which we operate. During the quarter, we have delivered our inaugural ESG report and important derisking event to align our disclosures with the meaningful work that has been completed to-date. We are very proud to have been recognized in Mexico, with the ESR socially responsible company distinction for 2023. I will now pass it to Chris to discuss financial results for the quarter.
Chris Ritchie: Thanks, Eric. Moving to Slide 4, the operational performance of the Las Chispas asset was highlighted by our strong free cash flow and growth on our balance sheet, while increasing our sustaining capital spend and repaying $25 million of debt. In the quarter, we generated revenue of $62 million. Our cost of sales was $23.7 million, reflecting a strong mine operating margin of 62%. As costs tend to track prices in our industry, these margins can be a significant differentiator relative to other assets. Net income in the quarter was $23.7 million or $0.16 per share. This is inclusive of an $8.6 million or $0.06 per share unrealized foreign currency loss, which compares to a $1.1 million unrealized foreign currency gain or $0.01 per share in Q1 2023. Net free cash flow was $43.7 million for $0.30 per share, which compares to $21.8 million in Q1. Our net free cash flow in the quarter benefited from financial items like the return of value-added taxes and deferral of payables and taxes which are scheduled to be paid in Q1 2024. We ended the quarter with $59 million of treasury assets, which included approximately $53 million in cash and $6 million of bullion. An undrawn $70 million revolving credit facility remains available. Now on to Slide 5. Capital allocation is critical to the success of any business and given our strong margins and free cash flow we find ourselves in a unique position to have choices, a single asset company. Our first allocation priority is to maintain a defensive balance sheet that allows us to weather the uncertainties of this business, but also to be well-positioned to be opportunistic. Equally as important is our focus on growth. Our infrastructure has been built and adding more ounces to the production profile through exploration success has the potential to benefit our valuation. Another priority is to add bullion to our balance sheet as another currency to be managed. We believe ounces above the ground are worth more than ounces in the ground given that the risk of producing them has been incurred. And we believe that these ounces are a better store of value than fiat currency. While we look for new projects to develop, we believe that bullion on our balance sheet will enhance our multiple relative to cash while providing healthier leverage for our investors and the hedge against inflation. We are also happy to have announced a share buyback or normal course issuer bid yesterday supporting a capital allocation priority to return capital to shareholders. We are in a healthy operational and financial position because of the support of our shareholders. And despite our risk being significantly reduced, approximately one-third of the shares issued were done so at higher levels than the share price today. We are well aware of the challenges to discover, permit, finance, build and operate a mine. And as a result, we see the NCIB as an opportunity to both reinvest in our own asset at a much lower risk level and recognize our supporters. With that, I will now pass it on to Pierre to discuss operations at Las Chispas.
Pierre Beaudoin: Thanks, Chris. I am now on Slide 6. Ramp up of underground mining rate increased during the quarter, averaging over 800 tons per day in line with the report. The underground mining rate is set to stabilize at this level in H2 as we prepare to ramp up in 2024. During Q2, the lateral development rate increased to 33 meter per day. This is a significant improvement over Q1 and a level similar to the expectation to the report. During the quarter, the third part toll was also established to access the Las Chispas area. Once progressed enough, this area is expected to provide more front and ease the transition to an increase the development rate of 42 meter per day. In Q3, we plan to resume contract negotiation with mining contractors, including our current contractors and we are still targeting to complete this discussion in H2 of ‘23. As highlighted in our release last week, we have made allocation to reflect the potential impact of these negotiations. The Las Chispas processing plant, average daily throughput of 1,186 tons per day, a number that is in line with expectation in the recently released technical report. The plants recovered 2.84 million silver equivalent ounces in Q2 as a result of much improved silver recovery and an increase in feed grade. As outlined in the report, the company continues to benefit from strategic stockpile used to supplement processing plant feed as the mine is gradually developed and tonnage ramped up. Still on Slide 6. Our corporate level AISC, which aligned with World Gold Council definition, was $12.70 per ounce silver equivalent and the mine level AISC was $11.41, an increase over Q1 due to a planned increase in mine development and an increase in mine output. Over the next few quarters, one important measure of success will be our ability to execute on the development plan. And as a result, we expect the sustaining part of our ASIC to increase accordingly. We should note that we have adjusted Q1 ‘23 results to align with our new silver equivalent ratio from the technical report of 79.5:1, and to align better with the costing in the report. It’s important to highlight that making this ratio change impacts silver equivalent parameters by about 5%. I will now pass it back to Eric to present the present the H2 2023 guidance and to conclude the presentation.
Eric Fier: Thanks Pierre. Moving on to Slide 7, with the release of the updated technical report, we are now in a position to release guidance for the remainder of the year. For H2 2023, the company expects to produce 4.8 million ounces to 5.2 million ounces at a cash cost of between $7 to $8.50 per ounce sold. Also for H2, mine level all-in sustaining costs are expected to be $11.75 to $13.5 per ounce sold and all-in sustaining cost as defined by the World Gold Council are expected to range from $13.75 to $15.50 per ounce sold. Please note that our guidance is based on 20:1 Mexican peso to US dollar exchange rate. And we have had a notable move in the rate to levels of 17.7:1. We estimate about 40% to 50% of our costs are peso-denominated. Full year 2023 guidance is 9.8 million ounces to 10.2 million ounces at all-in sustaining cost between $12.75 to $13.75 per ounce sold. Costs for H2 are projected to be higher based on increased sustaining costs related to underground development. Moving on to Slide 8, what’s next, exploration efforts will continue with a newly approved $10 million drilling budget through Q1 2024. Phase 1 of the program will target 10 million ounces, 10 million higher grade ounces silver and silver resources in proximity to current and planned operations for potential reserve replacement. Phase 2, we will focus on another 5 million inferred ounces in H2 2024, when underground access for these areas become available. The program will also target earlier stage opportunities with over 23 kilometers of under explored veins at Las Chispas that we are looking forward to start exploring. That wraps up our formal commentary for today. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from the line of Stephen Soock from Stifel. Your line is now open.
Stephen Soock: Hi guys. Congrats on a good quarter, I mean extinguishing that debt and building your balance sheet quickly is an impressive feat. I just had a question around the stockpile accounting. The use of some higher cost stockpiles of like in the quarter kind of drove up a little bit of the unit cost a little bit. Can you just maybe provide some color on that and then how we should think about that going forward compared to I believe it was a credit from the stockpiles in Q1? Thanks.
Eric Fier: So, I think the high level answer for you there Stephen, thanks for the question, is we did a lot of predevelopment. We had a lot of stockpiles available. As time progresses, we need to ramp-up the mine and make sure we are delivering more tons from the mine relative to the tons we are delivering from the stockpiles. So, the costs we are going to be incurring should go up as the tons coming from the mine increase in the ratio.
Stephen Soock: Okay. Thanks. So, that’s what we saw this quarter was the higher proportion of primary mined tons hitting the mill versus material source from the stockpile, or I thought there was some commentary about the cost allocation within the stockpiles actually use this quarter versus previous quarter?
Eric Fier: Yes, the average ton coming from the underground is going to increase.
Stephen Soock: Okay.
Eric Fier: Sorry, from the stockpile. Apologies.
Stephen Soock: Okay. Got it. No, that’s helpful. Appreciate that. And then I guess just one other one on from the accounting on taxes. I mean no cash taxes paid this quarter. You mentioned that will probably continue until it’s trued up in Q1. And then from that point forward, will it be regular cash tax payments, or we would expect to see this kind of build through the year and then big cash outflow in the first quarter of each year as you kind of prior year taxes?
Eric Fier: Yes, correct. We expect to start paying cash taxes in Q1. And that will be sort of an ongoing quarterly event from that time on.
Stephen Soock: Perfect. Thanks. That’s it for me. I will free up the line for anyone else here. Thanks a lot guys.
Operator: [Operator Instructions] Your next question comes from the line of John Sclodnick from Desjardins. Your line is now open.
John Sclodnick: Yes. Hi. Thanks for taking my question guys, and a great quarter there, and yes, very impressive. I will echo Stephen’s comments there on how quickly you paid off the debt and obviously shows free cash flows ramping up here. My question is just on the exploration budget of $10 million, I am just wondering how much of that will be capitalized. And how much of that is going to be expensed? And I guess related to that, if you are going to look at El Picacho, or it was going to be really kind of more near mine exploration?
Eric Fier: Yes, most of it will be focused on the near mine exploration, okay. We have no planned budget right now, for Picacho. We are waiting for some permits there. So, from a – a split of non-sustaining to the sustaining, a majority is going to reserve replacement, which would be on the sustaining side, so.
John Sclodnick: Okay. So, we shouldn’t expect to see much of that exploration budget expense then, is that fair?
Eric Fier: Sorry, that was un-sustaining side, there you go, not the sustaining capital side, okay.
John Sclodnick: Okay. Great. Yes, no, that’s it for me and yes, great quarter and looks very straightforward. Thanks a lot.
Operator: There are no further questions at this time. I will now hand over to Eric for closing remarks.
Eric Fier: Great. Thanks everybody for attending the SilverCrest Metals’ Q2 2023 results call. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.